Operator: Thank you for standing by, ladies and gentlemen, and welcome to the OTE Conference Call on the Third Quarter 2014 Financial Results under IFRS. We have with us Mr. Michael Tsamaz, Chairman and CEO; Mr. Zacharias Piperidis, OTE Group’s Chief Operating Officer; Mr. Babis Mazarakis, OTE Group Chief Financial Officer; and Mr. Evrikos Sarsentis, Head of OTE Group Mergers, Acquisitions and Investor Relations. At this time, all participants are in a listen-only mode. There will be a presentation followed by a question-and-answer session. (Operator Instructions). I must advise you that, this conference call is being recorded today on Thursday, November 6, 2014. We now pass the floor to Mr. Michael Tsamaz. Please go ahead, sir.
Michael Tsamaz: Good morning and good afternoon to all of you. I’m pleased to welcome you on our third quarter results call. I’ll start this call with a few words of introduction to share with you our views on the quarter. Babis Mazarakis, our Chief Financial Officer will run you through some of the details of our business in the period. Following this, together with Zacharias Piperidis, the Group Chief Operating Officer will take any questions you may have. Despite signs of improvement, our markets remained challenging and highly competitive. Greek consumer spending is still going down, although unemployment numbers are just showing first positive signs. In this context, it turned in another healthy performance in the quarter. I’d like to draw your attention to some of the highlights of this performance. First and foremost, we are particularly pleased with the continued stabilization of our Greek fixed line revenues. The rate of year-on-year revenue dropped, which was nearly 12% in the first quarter of 2013 has improved quarter-after-quarter, this outbreak since then. It was only 3% in the quarter, our best performance since the end of 2008 and it is now trending towards breakeven. This is linked to the heavy network and content investments we have made in broadband and television services. These are directly generating revenues contributing to the stabilization of our top-line. The second element was the retention of the continued substantial improvement of profitability of our Greek fixed lined operations which finished the quarter with a 40.1% pro forma EBITDA margin. This is a 440 basis points gain over a year ago. The progress we have made with our voluntarily retirement plans is structural and improving our cost base. We’re working on other initiatives to make our organization leaner and even more profitable. In Romania fixed, the situation was a bit more mixed in the quarter. The top-line level revenues from retail fixed services were resilient with solid increases in TV and Internet revenues. Conversely, the strong growth of Company had posted since the beginning of the year in wholesale and particularly in ICT projects was more subdued in Q3. The company pursued its sales of assets no longer needed in the course of business supporting its performance was remained positive on a quarterly and 9 month basis despite annual tax since the beginning of the year and costs associated with the branding of the Company to Telekom Romania Communications using the world known The Umbrella. In mobile operations, the drop in service revenue in Greece continued to narrow to 5.3% in the quarter. The growing weight of service revenues at COSMOTE Greece supported the EBITDA margin, which for the first time in two years exited the 40% level. The 17% decline in mobile sales revenues in Romania now also operating under the brand entirely, due to the Asian termination rate cuts which directly impacted EBITDA as well. So, taking all these into account, at the Group level we delivered another quarter of particularly solid profitability. EBITDA margin rose by 120 basis points to 37.6%, its highest quarterly level in 5 years. Our net income when adjusted for non-recurring items down by more than 24% compared to the third quarter of 2013. Let me say a word on our investments, which we have accelerated to strengthen our leadership position and steadily improve customer subtraction. Once again this quarter, our CapEx was up focused on VDSL, TV and 4G. Over the nine months period, CapEx is up 32% to EUR424 million, but you should expect that this line in the fourth quarter and restrict our guidance of EUR0.5 billion for the full year. We also maintained our full year free cash flow guidance of EUR0.5 billion, as we expect strong operating cash generation to continue in the fourth quarter with a limited outflow. Our net debt now barely exceeds EUR1.4 billion or one time EBITDA and our successful July financing significantly reduced our cost of borrowing and extended our maturity profile. We expect that the trends of the first nine months will continue in the last quarter of this year and notably the gradual stabilization of revenues in our Greek fixed and mobile operations specially is a signs of economic recovery continue. This will again be supported by accelerated investments in network and content quality that we have made, in particular we expect a good pickup to continue in television and VDSL towards the end of the year. On the cost front, we are not relaxing our efforts across all expense categories. As I mentioned, we expect to generate significant cash flow in the fourth quarter enabling us to meet our full year target and resume dividend payment in 2015. I will now ask Babis to review the quarter and then we will take questions.
Babis Mazarakis: Thank you, Michael. Good day or good afternoon to all of you. Before discussing the numbers, I would like to add to what Michael just noted that since the end of June, we took a number of significant initiatives. During the quarter, we accessed good timing opportunities to refinance our debt and we announced our intention to strengthen our TV footprint. In October, we acquired the 4G spectrum and will work right to both UEFA Football games in Greece starting next season. The benefits of these initiatives should be become apparent into the coming periods. Now let’s turn to our numbers. Group revenues were down 5% in the third quarter of this year, largely in line with the drop in revenues offsetting the previous quarter. As in Q2 of this year, this is impacted by mobile termination rate cuts. We estimate that if we exclude this mobile termination rate cuts, the Group’s top-line would have been down by just 3%. In Greek fixed line, OTE revenues were down 3% in the quarter. As Michael pointed out, the year-over-year differential has been narrowing without interruption quarter-after-quarter for four years now. We believe this trend will continue and we are optimistic that we’ll reach breakeven as an attempt to modest growth at some point in the near future. Revenues from retail fixed services also continued to recover in the quarter. They were down only 1.8% or EUR4 million this quarter, thanks to a huge jump in television service revenues which was up 83%. In the quarter, we also recorded an increase in broadband revenues and combined with TV, these increases had made up more than two-thirds of the drop in voice revenues. In the third quarter, we lost less than 31,000 retail lines, remaining near the record low level drop that we posted in Q2. It is important to note that, only about half of these lines losses were the result of recovery to the alternative carriers as the market experience relatively higher number of net connections. In Broadband, the total Greek market added a robust 62,000 subscribers during the quarter. As in the prior quarter, we had joint sales of 49% of total market net addition. For the second quarter in a row, our share of net adds exceeded our market share proving the strategy focusing on our competitive advantage in network infrastructure and customer experience is delivering tangible results. We have added 10,000 users to our high speed VDSL connections supporting our fixed ARPU and well justifying our investment focus. In Pay TV, we added 25,000 new subscribers in the quarter to lead a total of over 320,000 at September 30th. I am confident that the acquisition of rights to broadcast UEFA champions EU league games for three years will provide another significant boost for our subscriber numbers and revenues. Revenue from Romanian fixed operations were down less than 1% in the quarter, compared to the third quarter of last year. It is important to note here is the retail fixed services were down just 5% than materially lower rate of client than in prior quarters thanks to solid growth rate in TV and broadband which offset about one-third of erosion of retail voice revenues. In the second question however, wholesale revenues and sales of information to quality projects grew at the lower pace than the earlier periods impacting top-line performance. Total combined revenue from our mobile operations in Greece Romania and Albania were down 7.5% in the third quarter, more or less in line with 7.1% drop recorded in the second quarter and luckily for the same reason of mobile rates in Romania that started April 1st. And additional lower sales of handsets of course in Greece dented to the top-line while service revenues and EBITDA were more resilient. In Greece, broadband revenues were down 7% but service revenues were down just 5.3%, the lowest decline in the couple of years and in our estimate a significantly lower decline than rest of the market. NTRs in Greece were taught in the beginning of 2014 but the impact is limited as we are not at quite low levels. Our ability to contain pressure on service revenue is mainly also due to the quality of our network and expensive 4G coverage we have developed. These factors give us a considerable cove advantage even if the market gets more crowded with the arrival of MVNO operation with additional fixed line customer base. We experienced strong growth of 15% in revenues for mobile data services in Greece. Now, it represents roughly 17% of total service revenues. Handsets data [Audio Gap] in this quarter. This fully validates our investment in 4G with data speeds and connection quality contributing to customer experience and loyalty. The smartphone penetration up 43% of the base now, lower than Europe average is growing steadily, indicating opportunities to further enhance data revenues. Service revenues from mobile in Albania like the former telecom long-term now operating under the T-brand were down 17% entirely the effect of MTR cuts. Excluding these cuts growth in service revenues would have been positive by up more than 2%. Blended, it was down over 14% for the same reason. The adoption of split contact in this year led to another increase in service revenues in this quarter. In Albania finally, AMC’s outperformance didn’t prevent it from posting subs drop in revenues in the quarter with total revenues down 14.5% and service revenues down to 16.6% with the MTR cuts implemented in April now having the full impact. Excluding the impact of recent change of termination rates, AMC revenues would have been up by 5%. Finally the 6% decline in other revenues stands from OTE, our wholesale mainly from low margin transit inter-connection traffic. Now, let’s move to the rest of the P&L. In the third quarter, Group pro forma EBITDA totaled EUR371 million, down 2.1% from the third quarter of 2013. This relatively more contraction led to a base point increase in EBITDA margin to 37.6%, the highest quarterly decrease by the OTE since the third quarter of 2009. In the first nine months of the year, pro forma EBITDA margin went up 20 basis points to 36.2%. The improvement in Group EBITDA margin is due to the sub increase in EBITDA in model terms in Greek fixed line up 8.9% or EUR12.3 million. Greek fixed line EBITDA margins stood at 40.1% in the quarter, a 440 basis points improvement versus the third quarter of last year. Romanian fixed line EBITDA supported by sales of unused operating assets such as real estate was down 2% in the quarter. For our combined mobile operations pro forma EBITDA margin was down 70 basis points in Greece, up 90 basis points which is sufficient to offset the declines in Romania and Albania, which were brought down by the termination rate cuts. In the quarter, total operating expenses excluding D&A and one-offs were down nearly EUR42 million or more than 6% or EUR633.2 million. Across the Group, personnel expenses were down nearly EUR35 million, certainly all of them came from Greek fixed. Marketing expenses were up in the quarter as a result of rebranding official mobile activities in Romania, while other expenses were impacted again by the recently introduced Romanian infrastructure tax. The depreciation and amortization charge were down 1.6% in this quarter. Interest expenses were EUR68 million in the third quarter, up 1% from the third quarter last year. However, in the quarter incurred financial cost of approximately EUR30 million related to the issuance in July of the EUR700 million bond in fixed rate notes and to the premium from the subsequent buybacks of the notes. Excluding these underlying interest expense, it would have impact by about 44% reflecting the several reductions in our total debt since the middle of 2013. In the quarter net debt was cut by EUR120 million reducing OTE’s net debt to one time with EBITDA ratio at the end of the quarter along the loss in the industry. Our comprehensive position has been recognized by the rating agencies and noticed that we would be about or above the investment debt level well above the Greek sovereign sealing effect. A Group tax expenses in the third quarter was EUR24.4 million. The effective tax rate this quarter was 32.8%, which is slightly higher than our run rate accidentally in terms of not-recognizable tax purposes as well as lower cost stability at entities with lower than average tax rate. In the quarter, we posted net income of minorities of EUR69 million, compared to EUR259 million in third quarter of 2013, which of course included gains on disposals mainly from our Bulgarian operations. Adjusted net income which compares [inaudible] was up 24% to EUR94 million in the quarter. The reversal in operating cash flows that has been announced for the second part of the year is developing as expected and will be less in play in the last quarter of the year. We have another sum increase in CapEx third quarter but the bulk of this year outflow has already came in the first nine months with a completely differences on a pattern from other years as you can expect the deceleration in the fourth quarter. Hence, we retrieve strongly our full year CapEx accounts guidance for EUR0.5 billion excluding acquisitions. Consequently, we slightly lowered interest in the tax payments in the fourth quarter. We also retained strongly our adjusted free cash flow guidance to be above EUR500 million for the full year. All-in-all, we see many factors of distraction in the quarter. French are good, and Greek Fixed and Brazilian in Greek mobile and service revenues and in retail revenues in Romania Fixed. On the other hand, our natural mobile revenues will continue to be affected by the MTR headwinds for two more quarters. Our profitability is improving and thus financial structure is strong. We are confident in our ability to improve our pricing and financial performances in the full year and in 2015 bearing of course any negative macro surprise. Now Michael, Zac and myself are ready to answer any question you may have operator?
Operator: Thank you. Your first question comes from the line of Stam Draziotis from Eurobank. Please ask your question.
Stam Draziotis – Eurobank: Yes. Hi. Thanks very much for taking my questions. I have three questions if I may please. First one has to do with your mobile business in Romania. Q3 seems to have been rather a challenging specially as competition has been intensified. I mean, we have the MTR cuts, we have the MVNO entry, we saw telecom Romania losing more than 100 subs in the quarter, which off course as I understand were all prepaid. I am just wondering how do you see the situation playing now in the reminder of the year and the next year actually. Do you think that the MVNO will be very disruptive for the market? Should we expect contract ARPU mainly to go again below 10 years and I am just wondering what’s the extent to which you can mitigate the impact of this situation.
Michael Tsamaz: You said three questions, right.
Stam Draziotis – Eurobank: Yes. So, this was my first question. I can move on with the other ones.
Michael Tsamaz: Ask.
Stam Draziotis – Eurobank: Okay. My second question on would be on Greek Pay TV. I mean, you recently enriched your TV content, could you share some with us to the potential that you see from this segment in terms of share gains? I mean, market Pay TV penetration, ARPU enhancement especially as your TV subs are still less than 25% of your broadband subs. Do you have any targets you would like to share with us please? And the final question would be on the dividend. You talked about resuming dividend payments in 2015. I presume you refer to the dividend out of the 2014 profits. Could you maybe update us on how you are going to approach this? You said in the past you want to retain some flexibility in case of any turmoil in the credit markets. We have seen that, the prime company from which dividends are distributed has generated about EUR14 cents of net profit in the nine month period how do you intent approach that decision?
Michael Tsamaz: Let me start with your last question with dividends and Zac will take the other two. Actually there is nothing new to what we have said the in previous communications. First of all, the financial currency of the group is always to preserve our position in the market and the guidance we have given about free cash flow remains intact at EUR500 million for this year and perhaps five years if positive trajectory continues. Now regarding the dividends, as we have said in previous cases, would we expect to have a profit about year in 2014, that means that around June 2015, we will distribute the dividend that we decided in later periods towards the end of the year on the back of the profitability of 2014. Now, how much this would be? I think it’s a bit premature now to say. It has enough time to go and we will be able to discuss more concrete numbers when we will discuss our end year results. Regarding, your first question on the Romanian market, as it happens in all the markets where we have sudden drop of the MTS, this usually gives grounds to all the aggressive players in the market to set up their propositions and taking advantage of these change. This also happened in the Romanian market by RBS Associates based on no agreement with Vodafone. And as you correctly pointed out this has shaken up the market. The market is definitely challenging. We were expecting that due to the MTR cuts, we are going to have turbulence in the market, and off course we do not expect that these will be cutting at the same pace, but definitely it won’t be a simple case. It’s a challenging market. With regards to Greek Pay TV, currently we are just about 20% in terms of penetration. We are somewhere between 21% and 22%. We do believe that, there are a lot of reasons why Greek Pay TV penetration could move up to the European standards. As you know there are countries where this is starting let’s say from 55% and it can go up from 75%. So we do believe that, the Greek market will move at least to the low end of the numbers that I have mentioned to you. So, we do believe that there is space in front of us and that’s why we invest in this area and this was shown with our movements in the last tender.
Stam Draziotis – Eurobank: Okay. Thank you very much.
Operator: Thank you. Your next question comes from the line of Luis Prota from Morgan Stanley. Please ask your question.
Luis Prota – Morgan Stanley: Yes. Thank you. Two questions from my side. First is on the labor agreement that you are signing with the unions in 2011 and I think it’s expiring now in the year of 2014. And if I remember right that was implying at the reduction in salaries that I think it was like 11% or something like that was going to be given back to the workers from 2015. So basically, base salaries come back to the previous level. So, I wondered you could help us to understand where if that is the situation? What are going to be the implications, if the other measures that you are also going to be taken out and savings are going to be reversed or anything to help us understand personnel cost next cost would be useful? And the second question is football rights on that you’re just acquiring whether you can share with us the cost amount that you have paid and whether this is going to have any further implications on future margins? Thank you.
Michael Tsamaz: Okay. Let me start from second question. Regarding the football rights, I would like to start from the estimates that we have on the current level of the existing rights which was spread which is spread between NOVA and Antenna and the Public TV. We estimate that this is in the range of $31 million to $32 million. What we have offered is slightly above this figure with the exception of the year with the exception of packets from the Public TV to the existing packets. So, we acquired almost the full set of the rights for a price which is slightly above the current level of current year of their rights.
Babis Mazarakis: Okay. Going to the second question. Yes, Luis. It’s through the collective agreement that we’ve have with the union and with the workers and employees out there has expired. So, in other words the countdown of after effect has started. In other words [Greek Word] as we call it in Greek. Reality is that this collective agreement which was signed three years ago was very unique and very innovative and was considered by everyone is a breakthrough three years ago especially when at that time one must be reminded of the situation that existed in the country and what became afterwards in the coming three years. The whole country economically in terms of employee relations was amazed. However in OTE, who had very peaceful, calm period and that what because we have come who have reached an agreement with union, which was a win-win agreement to both sides, for the employees of the company and for the financial scenario. What were the basic elements of this agreement? We had a great an average reduction of 11% on the salaries and in return, we have guaranteed two things, one was the reduction of in their working hours from eight to seven, one less working hour per day. But most importantly, we have guaranteed that we would not have go proceed into in layers in order to reduce to the salary expenses of the Company, and this gives the comfort to the employees not to worry about losing their jobs. Now, this as I said, this was probably very unique for time when that happened, and it was conceded by everyone as a breakthrough agreement and as an example of how unions, employees, representatives and companies can come to win-win agreements. Now, this is something this is an agreement that we want to continue. It expired to the 3rd of November. However, we have started negotiating with the union representatives and this management’s aim is to agree on a similar agreement, on similar principals for the next at least two year if not three years. This is going to give us similar benefits of the salary reductions, but at the same time and most importantly, is going to give security to the employees. Now, as the revenues of the company are under a lot of pressure because of the economy in order to markets are going down, they’re not going up. We have to make sure that, the profitability of the company remains at the levels, which are acceptable in order to continue investing and retaining our obligations. Therefore the margins of the labor cost and other cost have to remain at the same where it used. So, we have to find to do certain actions in order to ensure this. How we are going to do this? If we don’t have an agreement, then we have to go to other initiatives, which will give us this cost reductions. For example, the law gives us following rights. According to the after effect, if there is not an agreement between management of the company and the representatives of the company, then every previous right of the workers which is part of a collective agreement from the past is canceled. To give you some examples of what will happen in OTE is we don’t have an agreement with similar principals that we had in the past, there is another of elements which were part of the collective agreements between both the OTE and the unions that will be canceled. So for example, the way we calculate order times, the way we calculate the monthly, daily allowance for working in businesses further than 20 kilometers. We stop having applies to pay compensation of salaries more than the legal one as it is now, special leaves like let’s say blood donor leave, like name day leave, like participation in national holidays in cultural activities or sports activities or leaving in near the border, all these leaves will be canceled. There are other leaves for union representatives will be canceled. Starting salary in the Company will be set according to the labor agreement that exists in the country meaning the EUR508 approximately per month. For example, other things that will be canceled like the transferring policies and various other things which at the end will give us the ability to have restructuring of the Company, spin-off of various activities and this will give us the ability to reduce the salary costs to levels which will be acceptable. That’s why it’s the benefit of both sides to have similar agreement like they had so far which was under the win-win principal.
Luis Prota – Morgan Stanley: That’s very, very clear. Thank you.
Babis Mazarakis: You’re welcome.
Operator: Thank you. The next question comes from the line of Georgios Ierodiakonou from Citi. Please ask your question.
Georgios Ierodiakonou – Citigroup: Yes. Hello. I’ve got a couple of questions. The first one is around you mentioned the improvement mobile data. I just wanted to see if you can share some numbers with us regarding what percentage of your voice customers take some form of data add-on to the product they have and how that has changed maybe over the last couple of quarters? And maybe also on the VDSL side, where you had slightly better cost driven previously with 10,000 net ads. Was there any special promotion or is there any reason why you’re seeing a bit more demand coming through now versus what you saw previously? Thanks.
Michael Tsamaz: So regarding VDSL, this is relevant to all large activities that we are having and we’ll continue to invest. So, we expect that this flow will continue in the future. Regarding the data, currently we are at around 17% of our revenues, which shows that how steadily we are reaching let’s say steady the target that we’ve seen in most of the European countries, but still we have space to grow and because of the penetration of smartphones which is still lower than the European benchmarks. In terms of adoption almost let’s say 70%, 80% of our contracts have a combined data and voice packages. So, we see on the data front a potential to grow.
Georgios Ierodiakonou – Citigroup: And if you don’t mind me asking on the prepaid side, are you seeing any demand to add data to the prepaid side or is that too early?
Michael Tsamaz: There is a demand, but as we understand it’s a cost sensitive segment and that’s why their appetite for consumption is not related with spending in terms of revenues. So, still they are consuming data but they wanted data in a very low price.
Georgios Ierodiakonou – Citigroup: Thank you.
Operator: Thank you. The next question comes from the line of Stanley Martinez from Legal & General Investments. Please ask your question.
Stanley Martinez – Legal & General Investments: Good afternoon everyone and thanks for taking my questions. First just to clarify on Sam’s question initially on dividends. I would like to just confirm that OTE net income through the nine months has been EUR66.7 million, that’s what I see on page 21 of the translated IFRS. Stan mentioned a EUR0.40 per share, so just as investors are trying to get a sense for dimension of what the possible scope for distributable income is in 2015 off of 2014, can you just confirm to help us level set that number?
Babis Mazarakis: Yes. Indeed this is a source that we generate the dividends and dividends will be distributed out of this pool. Let’s say that we’ll be concluded at the end of the year where we are at Q4. So, your direction is right.
Stanley Martinez – Legal & General Investments: Okay, great. Okay thanks. And then EUR67 million through nine months, is that right Babis?
Babis Mazarakis: No. This EUR67 million is cumulatively in nine months. It’s not per quarter, so this is the nine month result.
Stanley Martinez – Legal & General Investments: Exactly. Okay. I just wanted to make sure if I’m looking at the right group within the consolidated. Okay. So, thanks for that. And then if I could just ask on RomTelecom, there is a pretty significant EUR20 million year-over-year increase in CapEx in the third quarter. Could you just remind us what your objectives are there in terms of shortening loop length and long do you think it will take before we start to see the benefits from some of these investments in terms of reducing some of the competitive share loss to RCS, RDS and to UPC cable, because that looks to accelerated in Q3? Is it more maybe a half 2015 event and just what are the objectives in terms of hardening the network in Romania?
Michael Tsamaz: So, if you see the financials of our competitors a couple of years ago, nobody could predict that they would continue to invest and stay in the markets with the pricing schemes that they have introduced. For some reasons, they are monetizing so, still their financials are not healthy, but we’re committed on our plan to continue investing in the country and we hope that at some point in time the market will become more rational.
Stanley Martinez – Legal & General Investments: Okay. But in terms of trying to shorten the loop lengths, Michael to have an ADSL proposition that’s more in line with kind of the bandwidths delivery from your competitors. Do you want to get to maybe more of 50% overbuild with fabric to the cabinet or just help us to mention if you could what the objectives are in terms of the refresh in CapEx and get a more competitive share flow?
Michael Tsamaz: So, what we are investing within our CapEx envelope and we are investing in urban areas in order to increase our total capacity there. So, it’s fiber-to-the-home and as you know, this is quite expensive and that’s why these kind of figures and it take time in order to address that critical matter we need.
Stanley Martinez – Legal & General Investments: Okay, great. And if I could just finish up one question then on the Greek mobile market. I mean, great execution on the fixed line business but in terms of the mobile market in Greece, it looks like where you starting to see some stabilization in terms of voice yields as you’ve lapped the big reduction in MTRs and you’re starting to get some data revenue flow through. Can you just update us on where marginal service revenues are in the marketplace and are you confident in being able to build off of a base of around EUR12 of service ARPU in the market?
Michael Tsamaz: Actually the number that you’re referring is the average let’s say the combined figure for prepaid and post-paid. The contract figure is in the area of 25 is just for units say to have a benchmark of where the contact base is standing. In terms of the developments in the Greek market, you that in 2015 we have a really tough year with markets shrinking at the rate of 18%. We estimate that these number will go down 7% this year and we do believe that still in the forthcoming Qs depending also on the matters, we will see slight improvement again but we cannot at least at this point of time predict that it will be a zero or positive year for next year. Definitely, we will see some improvements.
Stanley Martinez – Legal & General Investments: Do you think that there is enough consumer income elasticity to try and drive some incremental prepaid to post-paid migration?
Michael Tsamaz: If you see some comparative maps, Greece in terms of price is one of the most competitive markets. But definitely, the Greek consumers are one of the top ones in terms of consumption. So we could not predict how this combination will evolve in the future to big accuracy, but we do believe that as the macros are getting slightly better, we’ll see improvements. And so what we expect in the forthcoming Qs is an improvement on the current trends.
Stanley Martinez – Legal & General Investments: Okay, great. Thanks Michael, thanks Babis.
Operator: Thank you. Your next question comes from the line of Vikram Karnany from UBS. Please ask your question.
Vikram Karnany – UBS: Yeah, thanks. Most of my questions have been answered, but just a couple of ones on regulations. Firstly, are you able to offer vectoring or do you need any regulatory approval to do that, and if so, what are the considerations do you think you need to do in terms of drop of vectoring. And secondly, in terms of cost cutting, you’ve made decent progress I see the fixed line margins already close to 40%. So, how much of further efficiency can be brought about in this fixed line business in terms of further cost cutting potential and where do you see this long-term EBITDA margin in fixed line business settling around with this cost cutting that you have been doing? Thanks.
Babis Mazarakis: Let me get to the second question about the cost cutting and then start with the comment on the regulation. Yes, all what you said is of course right. The effort to continue to cut cost is by no means is over and we have the comment from Michael about what do we mean with the negotiations with labors. But there are other areas that we are exploring and certainly that will give further cost cutting numbers in the coming years. Specifically, for the Greek fixed market I think was very evident in the results. Also the top-line is improving. So the strategy to fund the top-line deceleration in previous period, it has been delivered in the work and now top-line is improving. Off course, some cost cutting will come and that will sustain also the margin at levels that we have seen not only on the specific quarter which is also rather tied to the seasonality but also in the previous quarters of this year. So the cost cutting effort is never ending actually.
Michael Tsamaz: Regarding your question on vectoring, we do believe that in order to implement the target for 2020 and we do believe the vectoring is one of the most efficient practices we have to follow. We are here to support this. However, as you know, this has to go through regulatory approval, but it’s we belief that we have to go that way.
Vikram Karnany – UBS: But is there possibility you can get a regulatory approval and what are the consideration would regulators looking, because in the past the regulation was mostly around in terms of cost now you have addressed the cost line but what is a consideration for vectoring?
Michael Tsamaz: As I mentioned to you, we do believe in vectoring and we have preparing in our case in order to be submitted to the regulator. At this point in time, we cannot comment on this specific of the case.
Vikram Karnany – UBS: Okay. That’s clear. Thanks.
Operator: Thank you the next question comes from the line of [inaudible] Securities. Please ask your question.
Unidentified Analyst: Yes. Good afternoon. Just one question on RomTelecom, and if you could provide some color on the margin pressure in the quarter, if you could give us any comment on if it comes from fix services or ICT revenues and despite increase in the other income? Is this something that this margin we can expect coming quarter and what about assets sales in the coming quarters as well?
Babis Mazarakis: As in many fixed markets, RomTelecom is transforming business in order to compete from the ICT area, and they have been quite successful in the recent quarters on this front. But as we the margins there are different and that’s why we have more and more there. We see the impact on the margins, but this is transformation and it will continue because we would like to get a decent share in this industry.
Unidentified Analyst: And would you expect I mean asset sales during the coming quarter or next year similar to the amount we’ve seen so far?
Babis Mazarakis: Yes. We may have some disposal of assets but probably not of the same pace that we have seen so far.
Unidentified Analyst: Okay. Thank you.
Operator: Thank you. The next question comes from the line of [inaudible] from VTV Capital. Please ask your question.
Unidentified Analyst: Hi. Good afternoon. Just quick question whether there is any update on RomTelecom? Thank you.
Michael Tsamaz: It has been the mobile case, we are still in the phase of collecting data from the due diligence data rooms. The process as expected is very sensitive case and will go with rather low pace than we expected. And we expect in the coming weeks or so, we will be able to formulate an opinion based on the data that we have given sort of due diligence. As you understand due to the very sensitive situation of the transaction and the contemplated nature of the deal, we are not in a position to disclose many more things at this point of time. Otherwise if we move for some, it needs to be announced in the community and we will do so.
Unidentified Analyst: Thanks. What about RomTelecom?
Michael Tsamaz: RomTelecom, I guess you refer to the privatization process?
Unidentified Analyst: Yes.
Michael Tsamaz: Okay. That process was driven not by us but the Romanian Government and as initially stated that it has its own time table in place. And of course we see further development that need to be announce in the community, of course we will do so. But so far, there is nothing that can be announced.
Unidentified Analyst: Okay. Thank you.
Operator: Thank you. The next question comes from the line of Dimity – from Capital. Please ask your question.
Unidentified Analyst: Yes. Hi. I just had a quick question on your investment to implement CapEx. I think you might have commented on this at the start of the call and I missed it, but can you just clarify on whether anything has changed in the way that you think about your investment program and your investment budget in this year, because if I just look at the run rate of the CapEx year-to-date, you’re pretty much close to full year guidance in order to get to the EUR0.5 billion. It looks like you have scale down to follow CapEx in Q4?
Babis Mazarakis: As we have said in the previous quarters, this year because of strategic nature of the CapEx plan, high EBITDA, 4G et cetera, we have accelerated and off course this plan has worked as well. So, it doesn’t change on a total bill of CapEx, total CapEx envelope. It just that bringing earlier capital investment. Off course the payments of the CapEx becomes I would say on a different part in previous years and therefore the last quarter of the year is going to be a quarter where we see significant lower outflow for CapEx because the transformation year as I said is more or less carried out. The guidelines remains as we said approximately EUR500 million of CapEx and EUR 500 million of free cash flow.
Unidentified Analyst: Okay. Thanks very much.
Operator: Thank you. There are no further questions at this time. Please continue. Actually we do have other two questions.
Michael Tsamaz: Operator, last two questions.
Operator: Okay, sir. The next question comes from the line of Jonathan Dann from Royal Bank of Canada. Please ask your question.
Jonathan Dann – Royal Bank of Canada: Hi. There is a very quick clarification. Did you say that, assuming a $0.40 dividend for 2014 paid in 2015 was sensible? I missed the very first part.
Babis Mazarakis: No. What I said was that, the pool from which the dividends will be distributed is the number that we mentioned earlier that, the part of which dividends will be distributed is a number that in our financial statements reads EUR 66.7 million, which is the next profit after tax for the Company at the end of the time period. I didn’t say that $0.40 distributed. All I said that, whatever dividend policy will be decided in the coming months after obviously the Q4 results will be out of this amount. Now, how much, as I said our guidance many times, that will be decided once we see the full year results.
Jonathan Dann – Royal Bank of Canada: And follow on does COSMOTE and RomTelecom, do they basically distribute to the parent in the fourth quarter? So, I guess the fourth quarter free tax profit for the parent company very large?
Babis Mazarakis: All the dividends are distributed upon the Annual General Shareholder Meeting which happens around June of each year. So, what will be done in Q4 is the stability that will be generated in this particularly quarter.
Jonathan Dann – Royal Bank of Canada: I am sorry what I meant was how does the nine months the cash flows from the Greek mobile and Romania turned up in the parent Company.
Michael Tsamaz: Well, the cash flow is consolidated in the cash flow statement and this is shown in the overall cash flow statement. If you mean that what will be mechanics for distributing dividends from the total companies to the mother, again this process that takes place upon the Average General Shareholder Meeting for the companies of the Group is around June. And based on the profitability of each one of the companies, according decisions are being made. So, there is no particular unit inflow from dividends in Q4 because there is the decisions for the final distributions will be made in June.
Jonathan Dann – Royal Bank of Canada: Okay, excellent. Thank you very much.
Operator: Thank you. Would you like go through the other question.
Michael Tsamaz: Well, we’ll take one more question please.
Operator: The next question comes from the line of Sameer Patel from Lazard Capital International. Please ask your question.
Sameer Patel – Lazard Capital International: Hi. Just two questions. One is just to discuss what your market share is on the card play? I know you guys don’t give the much granularity there, but discussing a TV market penetration at this time. So can you give me an idea of that combined way of where you’re seeing on a core play basis in terms of market share? And then also I just wanted to be clear did you say that, in terms of [inaudible] can you just be very clear as to what stage you’re at without giving too much detail on your side?
Michael Tsamaz: Okay. I would take the second one. It’s mobile, we are working with NOVA North American company.
Sameer Patel – Lazard Capital International: That pretty much for the whole business.
Michael Tsamaz: No. NOVA is only the Pay TV business. So, this is what we have submitted our offer back in July and Nova is a subsidiary of [inaudible]. So as I said before, on this front, we are examining that the data that providing us through the data rooms and it’s a personal transition going and going at its own speed and whenever we meet our mind the one way or the way and if we have something to would be significant to announce the market, we will do so.
Babis Mazarakis: Regarding the penetration of core play, we are not offering that. However, we have public data for TV. They are we are at around 320,000 customers out of which 80% are also fixed customers. So, estimating that also our mobile markets is close to more than 50% you can estimate what is the proportion of core play, but it’s not offer access.
Sameer Patel – Lazard Capital International: Okay. Yeah, I know I mean the difficult in the market. Obviously, you cannot legally sell a core play platform was increasing happening is on the double and triple offerings. You have to have this terminated effectively. You are selling that product and that’s informally, is that correct?
Babis Mazarakis: What do you mean informally?
Sameer Patel – Lazard Capital International: You can’t actually sell a core play offering.
Babis Mazarakis: Of course, that’s a point. We are not offering the core play. So, if the customer comes to an OTE and asks for a TV then it becomes say virtually sat core play, but there is no incentive let’s say for him to make this binding.
Sameer Patel – Lazard Capital International: Okay. Yeah that was the actual kind of color that I was looking for.
Babis Mazarakis: Yeah.
Michael Tsamaz: Okay. Thank you very much everyone. We’ll talk to you again in three months.
Operator: That does conclude our conference for today. Thank you for participation. You may all disconnect your lines.